Operator: Good day, and welcome to this FTI Consulting First Quarter 2011 Earnings Conference Call. As a reminder, today's call is being recorded. Now for opening remarks and introduction, I would like to turn the conference over to Mr. Eric Boyriven. Please go ahead, sir.
Eric Boyriven: Good morning, and welcome to the FTI Consulting conference call to discuss the company's 2011 first quarter results, which were reported this morning. Management will begin with formal remarks, after which we will take your questions. Before we begin, I would like to remind everyone that this conference call may include forward-looking statements within the meaning of Section 21 of the Securities Exchange Act of 1934 that involve uncertainties and risks. Forward-looking statements include statements concerning our plans, objectives, goals, strategies, future events, future revenues, future results and performance, expectations, plans or intentions, business trends and other information that is not historical, including statements regarding estimates of our future financial results. For a discussion of risks and other factors that may cause actual results or events to differ from those contemplated by forward-looking statements, investors should review the Safe Harbor statement in the earnings press release we issued this morning, a copy of which is available on our website at www.fticonsulting.com as well as disclosures under the heading Risk Factors and Forward-Looking Information in our most recent Form 10-K and in our filings with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date of this earnings call. During the call, we will discuss certain non-GAAP financial measures such as adjusted EBITDA, adjusted segment EBITDA and adjusted EPS. For a discussion of these non-GAAP financial measures as well as the reconciliations of these non-GAAP financial measures to the most recently comparable GAAP results -- GAAP measures, investors should review the press release we issued this morning. With these formalities out of the way, I'd like to turn the call over to Jack Dunn, President and Chief Executive Officer. Jack, please go ahead.
Jack Dunn: Thank you. Good morning, and thanks, everyone, for joining us. With me on the call this morning are Dennis Shaughnessy, our Chairman; David Bannister, the Chairman of our North American region; and Roger Carlile, our Chief Financial Officer. Our results were released first thing this morning, and I hope you've had a chance to review them. If you have not, they are available on our website at www.fticonsulting.com. The first quarter was a good start to what we hope will be a very, very good year for FTI Consulting. From an operational standpoint, we enjoyed a solid quarter, but in terms of the strategic development of our businesses, it was an outstanding one. We successfully completed a series of transactions with LECG Corporation that significantly furthered our development as a company and enhanced our competitive position in several key practices that are important to our future. In terms of the deployment of our capital into productive and value-generating initiatives for our shareholders, these transactions and the steps we have taken with our accelerated stock buyback we believe leave us with a more efficient capitalization while also preserving the flexibility to make further investments as opportunities present themselves. From an operational standpoint, revenues in the quarter were an all-time record $362 million, up from $350 million a year. This eclipses the prior record of $360.5 million that we generated at the height of the recession in the second quarter of 2009 when our bankruptcy and restructuring activities were going full bore. We achieved this despite our restructuring and bankruptcy activities continuing to be faced by a challenging headwind. We achieved this because our activities that are key to an economic expansion continue to gain traction in their respective markets and to, again, more than make up for the decline in restructuring work. In the first quarter, the pro-cyclical businesses grew 9.5% substantially, all of which was organic. Our practices outside of the U.S., again, were a key factor in our growth. Total revenues in Asia Pacific more than doubled year-over-year, with strong organic growth in Forensic and Litigation Consulting and Strategic Communications and another great performance by our acquired Corporate Finance and Restructuring business. Latin America grew by 24%, and although our activities here are small relative to our overall business, it demonstrates the market dynamics and opportunity for us in the region. While our activities in North America and EMEA -- Europe, Middle East and Africa -- in total were flat year-over-year, declines in Corporate Finance and Restructuring marks some very interesting and promising growth in our other businesses. Adjusted EBITDA on the quarter was $61.7 million or 17% of revenue. This was down from $75.9 million a year ago on a smaller contribution from Corporate Finance and Restructuring. Included in adjusted EBITDA for the quarter are expenses related to the LECG transactions of approximately $1.4 million, which were mostly legal fees; another $500,000 or so of one-time tax adjustments and also about $800,000 of essentially nonrecurring incentive payments related to an acquisition. We reported adjusted earnings per share in the quarter of $0.48, which included the impacts from the above, including about $0.02 related to LECG. The tax item that I mentioned took our tax rate up to 38%, which is higher than the 37% we expect for the rest of the year. And the incentive payment cost us another $0.01, so that in terms of our underlying earnings power in the quarter, one could make a case for about $0.52. The fully diluted share count of 45.6 million was down 2.5 million shares or about 5% from a year ago due to share repurchased under our current authorization. This share count does not reflect the full impact of our accelerated stock buyback that we announced in February and have since completed. During the quarter, we repurchased and retired about 4.4 million shares and expect to receive and retire approximately an additional 600,000 shares in May for a total cost of $209 million. Depending on the price, there could also be a few more shares down the road, but this essentially completes our $500 million stock repurchase authorization. With regard to the practices, revenues in Corporate Finance and Restructuring in the quarter were $107.3 million, a decline of about $10 million or 9% from a year ago. Adjusted segment EBITDA for Corporate Finance was $21.5 million compared to $34.7 million a year ago. The declines in revenue and adjusted segment EBITDA stemmed from the continuing softness in demand for restructuring and bankruptcy services as the credit markets continue to improve. This decline was partially offset by improvements in the segment's healthcare business as well as contributions from the Asia practice acquired last summer. As default rates remain in historically low levels, we continue to explore ways to enhance the profitability of this practice. This included emphasis on transaction support and industry-specific domain expertise, and we are actively working to shift our restructuring and bankruptcy-focused staff with appropriate skills to other practices which are experiencing increasing demand, all of this while we continue to assess the longer term demand for our restructuring and bankruptcy services. In Forensic and Litigation Consulting, we had another good quarter. Revenues increased more than 5% compared to a year ago to $83 million from just under $79 million. We have more than made up for lower activity in two large fraud cases, which, although they remain important contributors to segment revenue, are significantly down from last year. We have had good new case opening activity, which tends to, in the beginning, use senior people as they're opened up but later on mature and increase in margin and utilization. There was a solid increase in the overall level of litigation activity, regulated industries maintained their strong performance and our Asian investigations practice sustained its momentum. All these factors are good indicators, I think, of a return in strength of the litigation and consulting market. Adjustment segment EBITDA on FLC was a $16.9 million compared to -- equal to 20.4% of revenues compared to $19.8 million or 25% of revenues a year ago. Again, I think the mix of mature cases and new cases will tend to have a positive effect on our margin and utilization as we go forward. Adjusted segment EBITDA margins declined from a year ago due to the lower utilization as those large fraud cases began to wind down and higher headcount as we anticipated continuing strength in the market into the year. Economic Consulting maintained its strong momentum from the fourth quarter. Activity was strong across a number of our core practices within Economic, most notably M&A and financial economics, and the European and Canadian international arbitration practice had an excellent quarter. As a result, segment revenues were a record for the quarter, increasing over 10% to $74.3 million from $67.3 million a year ago. Adjusted EBITDA for Econ [Economic Consulting] was $13.2 million, equal to 17.8% of revenues down slightly from $13.5 million that we recorded last year. Adjusted EBITDA in the quarter reflects increased equity-based compensation expense due to the increase in our share price and about $1 million of expenses that were allocated related to the LECG transactions. Margins were also impacted by the investments we're making in our European and Canadian practices in term of some key hires we've made over the past six months. And while those practices are ramping nicely, they haven't yet achieved the scale necessary to generate the usual level of profitability that we've come to enjoy. Technology had another excellent result in the first quarter. Revenues increased almost 18% to $51 million, a quarterly record driven by increased litigation and investigations activity and the continued success of our Acuity offering. Adjusted segment EBITDA in the quarter was $18.6 million and the adjustment (sic) [adjusted] segment EBITDA margin in the quarter was a strong 36.5% due to the high level of revenue, although down from exceptionally high margins a year ago. We have aggressively managed expenses to maintain margins in the face of continued competitive pricing environment in the unit-based side of the business. Strategic Communications revenues increased 7% in the quarter to $46.4 million, driven by modest growth of retainers and some good projects worked in the largest markets of the U.S. and U.K. Asia Pacific maintained its strong trajectory on the strength of Australia's strong natural resource-driven economy, which was a driver of M&A and overall business. Adjustment (sic) [adjusted] segment EBITDA was $5.4 million, equals to 11.7% of revenue. Margins were down slightly versus last year as they were affected by the accrual of incentive compensation of approximately $800,000 that I mentioned earlier related to an acquisition. This will recur in the second quarter in a similar amount, but then that will be completed. Now let's turn to the strategic developments that we accomplished during the quarter. As we announced on March 31, we completed a series of transactions with LECG Corporation that significantly advanced the key elements of our strategy, namely, building our goal -- global platform to enhance our ability to deliver critical thinking at a critical time and further reinforce our industry expertise from certain vertical markets where there is an increasing premium being placed on domain expertise to contend with changes that are occurring. The transactions with LECG accomplished both these objectives. To remind you of the details, we acquired a number of practices from LECG involving more than 200 professionals across Europe, the United States and Latin America. These professionals were generating about $80 million in annualized revenues on a trailing 12-month basis. At the end of their tenure with LECG, in terms of compensation we paid about $27 million in cash for the businesses and assumed about $16 million in liabilities. We did not take on any additional debt in connection with the transaction. About 150 of their professionals that we added are based outside the U.S., so we are adding significant heft to our growing capabilities in Europe and Latin America. This represents an increase of about 13% to our non-U.S. employee base. Fully 30% of our employees now work outside the U.S., which reinforces our factor of a truly global firm. As an aside, while London has been our second largest office for some time, it is now vying with New York for the #1 position. This is a remarkable development as less than five years ago, we barely had any presence at all in London. However, this is more than just about putting dots on the map and showing a global presence. The addition of these professionals is strategically important to us in terms of how they enhance our competitive position with several of our critical consulting disciplines and raise the visibility of FTI in new markets. You've heard me speak often of our leadership and competition in antitrust economic consulting and how we are experiencing strong demand in these areas. With our new colleagues, we will putting these capabilities on the ground in Europe with the launch of our European competition in antitrust economics practice, which will have teams in place in important business centers such as Madrid, London and Brussels. With the increasing trends toward cross-border M&A and collaborative regulatory bodies, our ability to advise in multiple jurisdictions greatly enhances our ability to service our global clients with a competitive advantage. Similarly, we are expanding the global reach of our international arbitration practice, which, as you know from our recent conference calls, is gaining traction not only in its business performance, but is also being rapidly recognized as a leader in the market. The professionals we are adding give us greater heft in Europe where we have been off to a best start, but also bring a team of 33 people to Latin America that launches our practice there. This enables us to triangulate North America, South America and Europe with a seamless team. In addition to the competition in antitrust and international arbitration capabilities we are adding in London, the LECG transaction provides the basis for launching new practices based there: a European tax advisory practice, which advises FTSE 100 and Fortune 500 companies on their international tax issues, while significantly enhancing our existing London-based dispute advisory practice with seasoned practitioners to complement our market-leading position in the U.S. dispute advisory market. Finally closer to home, as we've long wished, we're expanding our Forensic and Litigation Consulting team in the U.S., especially the West Coast with the addition of several senior practitioners in our San Francisco office to bring great expertise in forensic accounting, financial investigations, disputes and expert witnessed testimony among others. Apart from the global platform, the other dimension of our strategy that we've often talked about is our pursuit of greater domain expertise in key industries that are undergoing transformational change or experiencing heightened regulatory scrutiny. Our new colleagues increase our resources and global reach in industry practices where we already have critical mass, such as insurance and financial institutions, energy, utilities, airline and aviation and environmental. And they enable us to launch new practice in areas such as these with a critical mass. To help you understand the financial impact on our business from the addition of these new practices, let me offer the following. As I've said before, the practices we have acquired were generating about $80 million in annual run rate basis. So given that they are joining us 1/3 into the year, we would expect around $60 million on revenue from them in 2011. As we bring these folks into our business, there will be in the normal transition impact and integration expenses, plus the usual summer seasonality. So we're looking at a modest contribution to profits in the next quarter or two. But as the year progresses, and they get up to running within our organization, we would expect both their productivity and profitability to ramp toward our normal level of margins in the low 20s as we exit the year. For the full 2011, we expect the contribution in the area of 10% to 15%, depending on the speed with which these practices get up to normalized productivity. And this would equate to between $0.10 and $0.15 per share to our earnings, with, for the reasons I state, may be slightly biased to the back end. Now let me say a few words about outlook and guidance and why I am so bullish on our market position and our company right now. As I look across our practices, they're doing almost exactly what we would expect them to do in a market environment such as the current one with a slightly improving economy. As I look at Corporate Finance, we see the core restructuring business continue to face headwinds, but those practices within Corporate Finance that have domain expertise or rely on an improving economy are beginning to do very well. Our healthcare practice had 27 new matters during the quarter after opening 23 in the fourth quarter. Our media practice is gaining traction, and our Transaction Support business has been strong with 63 new matters following 59 new matters in the fourth quarter. 10 of those in the quarter were company-side, 23 were investors side and 30 dealt with lenders. With Forensic and Litigation, during the quarter, our healthcare practice in that business was up 11%, our pharma business was up 30% and our insurance business grew by 60%. We also saw an improvement in the U.K. Tech, in its great performance, especially took note that its Acuity product, which is an innovative new product, did very well. We also did an excellent job in Europe in terms of several investigations and some FCPA work. Matters were up, our budgets are now there for on-premises and self-service SaaS offerings. Interestingly, price pressure has been softening slightly, and there's an uptick in the M&A market, so there's every reason to be very bullish on Technology for the rest of the year. As I mentioned, we significantly beefed up our international arbitration practice and now have the top 10 recognized professionals in international arbitration in the world. In Econ, the number of new matters and active matters increased dramatically. It was up 25% in number of matters year-over-year and up 15% from fourth quarter. New matters are continued at a brisk pace with 145 in the quarter followed by 150 in the fourth quarter, compared to a run rate last year of about 125. M&A and financial economics are robust. We've just invested in a new public policy group headquartered in London that, with the addition of three world-class economists, that're only now beginning to ramp up. And we think that with the impact of the governments into the global economy, this can't help but be a growing practice as we go forward. In Strategic Communications, we again had good retainer growth. We had excellent representation in M&A transactions where they occurred, but we still -- we're gaining market share and momentum, but still there's been a dearth of IPO work, which will be what's needed to really help them do even better than the 5% or the 7% growth that they recognize. Finally, the LECG transaction, adding 200 new colleagues who I want to welcome to FTI, and I think that they could have gone from many places but they chose to be at FTI, harkening back to the mantra that we begun this company with almost 18 years ago, which we wanted to be the place for investors, for clients and most of all, for the great professionals that make the other two things possible. Accordingly, while it is our policy to update our guidance only at midyear, given the potential material impact on our revenues and earnings from these recent events, we are increasing our guidance. We now expect revenues in the range of $1.5 billion to $1.54 billion and earnings per share of $2.30 to $2.45. To conclude my prepared remarks, the first quarter was obviously a productive one. We had a record quarter for revenues on the strength of growing momentum for our pro-cyclical businesses. We invested over $200 million of our capital in buying back our shares. And most importantly, we substantially enhanced our global presence, the breadth of our practices and the critical mass of our growing new markets in Europe and Latin America. All of this positions us with more intellectual capital than ever to advise our clients on the most important issues today irrespective of where they might be. With that, we'll now turn it over to your questions.
Operator: [Operator Instructions] And we'll take the first question from Tobey Sommer, SunTrust.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: I have a question for you about your international markets, and I just wanted to maybe see if you can give us some color as far as how many offices you have or percentage of revenue in which you've only got two or three or maybe even one of your segments present versus having all five to try to give us a sense for what kind of growth and opportunities you have in some of those international locations?
Dennis Shaughnessy: Tobey, it's Dennis. In most of the U.S. operations, obviously, we have all of the segments the business was represented. In London, all of them are represented. In Hong Kong, all of them are represented. The European offices in France and in Spain would probably have three of the five represented physically although they liaise with London and use some of the expertise to the other segments in those operations. As the demand for those services increase more, you would see us put in situ in Madrid, which is becoming a very large office for us as well as Paris. In Germany, we would have right now 3 or 2.5 of the five in there, again, predominantly using technology services out of London from the Technology segment. But on the ground communications, arbitration and transactional support and restructuring would be in situ there. Middle East, again, I'm not going to go through. We have so many options, Tobey, to go through. The Middle East, in general, in the Middle East, you would have two of our services in situ. But again, a lot of projects that those people would be bringing on-board that might be serviced out of London. Australia, again, you would have there two in situ, but with other projects being handled by our economists coming from the U.S. and some of our restructuring people coming out of Hong Kong. And down in South America, we would have three of the groups -- actually four in situ. The only one that we don't have a full representation in South America now with the Technology, and they're partially represented through a technological group that we have in place in Brazil. But it's more aligned to our FLC practice. So I think -- I tried -- we have so many offices. I don't want to take up the entire call. But in the aggregate, we're expanding based upon the development of enough in situ demand to justify the placement of people in those markets. In the interim, we're using the logistics and the context and the relationships with the other groups on the ground in order to support projects that we have in the country for the other groups or to develop them and to bring resources in on a project-by-project basis.
Tobey Sommer - SunTrust Robinson Humphrey, Inc.: It seems like the change in guidance is mostly a function of the recent hiring. But if there is some sort of other contribution to that change, could you share with us what that may be?
Dennis Shaughnessy: Well, I think Jack is trying to tell you that the demand curve, the new openings in the first quarter are very robust not only here but in Europe and especially in Asia. The anticipation is that these openings, one, is a good indicator of a significant pickup in the business and not just a pickup with market share or gain in market share. And looking at that, our feeling was that the additional capacity that we were putting on stream not only through the LECG acquisition but the actual other hires that we've made across the platform was going to benefit from good solid demand drivers the rest of the year and then just the net addition of $80 million in trailing revenues that LECG worked on. Obviously, our feeling is we can do better than that once they're fully integrated, they're online and some of the groups have actually hit the ground or running very quickly and are very happy to be attached to the platform.
Operator: And now we'll move to a question from David Gold with Sidoti.
David Gold - Sidoti & Company, LLC: I wanted to ask a question or two on Technology practice. I guess, as we stand, litigation is certainly picking up, but that business continues to be pretty competitive. I guess, certainly the landscape's changed a little where it got an increase in -- more competitive, say, than when you initially entered the business. I was curious on sort of thoughts there on, well, what we do from here differently to sort of differentiate a little bit more and see if we can get the pricing power back? Or is it a function of making some more acquisitions growth, or is it more a function of, say, reviewing the offering and going from there?
Dennis Shaughnessy: David, are you specifically talking about the Tech segment?
David Gold - Sidoti & Company, LLC: Yes.
Dennis Shaughnessy: Well, I think that we have two factors there. One, you're never going to have pricing power in storage because it's a reflection of Moore's law. Every year, the capacity and the cost storage goes down or increases and the price moves proportionately. And obviously, we have very large outsource operations now in the U.S., Europe and Asia. And you have to offset with volume the market presence. We don't drive storage prices. Storage prices are driven by based storage around the world, were beneficiary obviously of demand. So there you're going to see increased dollar volumes possibly decreasing margin because that's what the whole world looks at in those businesses. I think we'll increase the share at the top end, so I would turn around and say that there is a market consolidation because I think what you're seeing is pure businesses that can handle complex global challenges that have to operate within specific geographies for purposes of privacy. So I think on our consulting side of that business, I think we're gaining share. And then finally, we have a robust R&D effort underway there. Acuity has exceeded our expectations. We are extremely pleased with it. There will be new releases throughout the year related to Acuity and to the other areas. And of course, we are spending a lot of money to position ourselves aggressively in the cloud. I hate to use that cliché. But it's clearly where the world is going to go, it will probably be a way of maintaining margin on storage by a different type of approach. But we're very pleased with what we see coming out of R&D. You could expect to see a significant amount of dot releases as we build enhancements for what we think is a highly ranked, highly industrial analyst platform. And so I would say you'll see us grow there. As we migrate into the cloud, we think there will be efficiencies. And two, we're going to gain share at the top end on consulting just because there are more complex global problems and fewer companies available to do it. And then finally, you're going to see a lot of new releases from us over the balance of this year.
Jack Dunn: Yes, and I think if you look -- compared this quarter to a year ago, I think one of the things we noted is we had a particularly strong quarter last year on on-premise installation. And I think that's a very profitable business, and our people are reporting back that corporations are again having budgets to explore this, as I mentioned in my remarks. So I think we are working to address that need. We're working to make sure that our new releases work seamlessly with that kind of thing. So it's a partnership with the clients to really address their needs, and we have always been a leader in doing that because of our -- we were a pioneer in this and now with our R&D effort, which is well funded and not a product of a venture-backed thing or something like that, I think we're in good shape. And we will, of course, look at acquisitions. Like most of our practices, the Technology folks have a list of things that would fit nicely as we continue to coop the end-to-end solution so that our clients have not only want to use us and have no reason to go anywhere else. So we're very active on that front. But as we say in the business, the results weren't exactly chopped liver as they are. So they're -- when you look at -- it is at least a nice respite for them to have a quarter where price pressure was not as significant a factor as it has been in the past.
David Gold - Sidoti & Company, LLC: Okay. And Jack, just following up on your comment on the acquisition front. There's one, I think, large one that sort of large potential sale announced in the quarter in the business at a competitor who is been having some similar issues or some issues on the pricing side and wants to get out. Would you look at something big there?
Jack Dunn: Which one are you talking about, David?
David Gold - Sidoti & Company, LLC: Iron Mountain.
Jack Dunn: Oh, okay. Yes, I don't think at this point we're going to buy hosting capacity. I think that's -- there are people, as the world goes on, that for us it was an important tool because of the confidentiality and there are certain people who, no matter what we say, are not going to go to anything but a private FTI solution. But I think in terms of being a competitor in the mass market, that's not our cup of tea.
David Gold - Sidoti & Company, LLC: Yes, got you. Okay. And then just one last quick one if can tuck it in. The LECG buy, can you give us a sense for how much, if possible, in addition to what you spent, what we might expect it might cost to sort of lock up the senior professionals there? To put them on the platform so to speak.
Dennis Shaughnessy: Well, as you can imagine, David, we wouldn't have done the deal if we haven't locked up the senior professionals as part of a precondition to each one of the series of acquisition. So new employment contracts were signed with us not only for defensive purposes, but offensively to give them the opportunity to -- or based on our income model, and which we think will have margin enhancements and earnings enhancements to them. The total amount of the loans that were used were not significant relative to the buying purchase price, and I think that that's all over and done and there are packages pretty much, David, that would look like a template that you've seen us do elsewhere. But they are back locked up...
David Gold - Sidoti & Company, LLC: Got you. Perfect.
Dennis Shaughnessy: In a positive sense.
David Gold - Sidoti & Company, LLC: Right. For sure. Very good. Thank you all.
Operator: And now we'll hear from Tim McHugh with William Blair & Co.
Timothy McHugh - William Blair & Company L.L.C.: First wanted to ask on the large cases, if you could give a little more color, I mean, both on the Forensic side, you talked about how those are down, and then also Technology. Were there any large cases? And I guess from a high level, just do you feel more comfortable that that's less of a risk? You talked about that being a little bit of a risk on the last call that you were kind of thinking about for this year.
David Bannister: Tim, it's Dave Bannister. The quarter was much less dependent on large cases than many quarters we've had in the past. So within the Forensic group, the two large cases in which we've spoke about frequently were down about 2/3 in revenue versus the run rate last year. There are still significant cases, but they were no longer hitting the unusual category in terms of their sale versus the business. The only other segment that would have significant cases would have been Technology segment, and that the largest case there, again, is down significantly versus last year, so depends on if it's a lot less. In Corporate Finance, there really are not mega cases going on now in general sense. So we don't have cases that would be $10 billion or $20 billion in the quarter as those cases are behind us.
Dennis Shaughnessy: Yes, Tim, I think one of the reasons for the optimism that Jack was trying to project is that when you have such an increase in the number of retentions that we're getting, number one, some of those by simply sheer force of inertia grow into larger cases. But it allows us to start to redeploy the younger range of our consultants into those. As I think Jack said, when you get the cases in the beginning, obviously, your senior people are on and as the cases expand, you'd start to add to your leverage with your younger people. And most of those people are being deployed out of the large fraud cases that we had referenced. And so you can't turn sort of the ship in a parking lot in a couple of weeks, but we're very pleased with what we're seeing as far as all the new bookings and we had a outstanding first quarter of new business development.
Jack Dunn: Yes, Tim, this is really the fruition of a game plan. I mean, we think we will continue to get the elephants because, one, we hunt them; and two, we've been partners with the great firms in the world about having very successful conclusions for our clients. But as you know, we've been moving much more towards domain expertise. When you look at those figures about our healthcare business being up 11% and our insurance business being up 60%, we're trying to build things where we don't just get it because it's a big thing, we get it because we are the gold standard in that particular industry and that's something that you will continue to see. So in the process of a lot of Sturm and Drang over the last year about body headcount and the rest of it, what we have done is continually focus new hires on and replacement hires on industry and domain expertise.
Timothy McHugh - William Blair & Company L.L.C.: Okay. That's great. And then can I ask us about the marketing plan or the brand consolidation plan for this year. The corporate expense was actually a little -- much lower than I had thought. So was that fully ramped up in Q1? And I guess, just how is it going from a...
Dennis Shaughnessy: No, for the brands that we were going to convert, sort of on a big bang in Q1 that, that money for the most part has been expended, probably was a little less than budget, but it went seamlessly. So we really didn't have any issues. And the bigger brands, the ones that would be converted between now and in November was where we had the bulk of the spend. That money is targeted to be spent. It will be spent, and so far so good. We think it's going extremely well, and a lot of it is geographically driven because you just have to do your conversions, your promotion and your transition based on the geography that you're in. And I think, obviously, we've gone to this new organizational structure with a geographic bias, and so we want those leaders to weigh in heavily on sort of the last model of execution of that dollar spend or euro spend or yuan spend wherever it's going to be.
Timothy McHugh - William Blair & Company L.L.C.: Okay. So should we -- is it fair to think about that expense corporate being relatively similar to Q1, may be up a little? I mean, is that a good run rate?
Dennis Shaughnessy: I think you'll see it go up a little in Q2 and pretty be much be as planned in Q3 and Q4.
Timothy McHugh - William Blair & Company L.L.C.: Okay. And then one last question is just on the Strategic Communications business, can you talk a little bit about your view on that business right now? I know you said you're waiting for a greater level of IPO activity. I guess I had thought it might be stronger than this at this point in the cycle. Are you comfortable with retention and market share trends and everything there? And it's just a market issue, or is there anything else that you're may be focused on within that business?
Dennis Shaughnessy: I think we're gaining share in the base of core business, especially in Europe and Asia, and probably keeping share or expanding slightly here in the U.S. I think that the capital markets have just not been robust. It's been somewhat a soft start. Our backlog of activity either our primary, secondary fundraising bases especially, again, in Europe and Asia is robust. It's there. We simply haven't been able to execute a lot of the deals that we've worked on have literally gone to the altar only to be pulled at the last minute. I think that while we think M&A activity is definitely going to pick up, M&A activity on a hostile basis is clearly a big driver of business for us when that heats up. And so, I mean, you're reading some of the same headlines we are, so I think we may see a benefit in the second half from that. Our retentions are up. The pricing pressure on retention seems to have abated. The big lack here that we still have not recovered from where we were in the last cycle is the M&A/Capital Markets business. It's -- we believe we've gained share by the retentions that we have. We were just simply not being able to execute on the transactions.
Jack Dunn: Yes, I think in light of that, I mean, we can't just sit around and wait for IPOs to come back. When you look at our developments in that business, one of the things that's exciting is with the new leadership we have there and with the addition of Mark Malloch-Brown over in London and with our operation in Brussels. We're much more looking at government and global affairs as an opportunity. I mean, you're going to have given the, I'll say politely, involvement of government in business here and abroad, given events in Spain and Greece, I think the addition of this cadre of economists that I spoke about in our Economic Consulting combined with the capabilities we have in Strategic Communications, I think by the end of the year, you might see that be a pretty big contributor for us on not just the U.S. basis but on a global basis. So that's an exciting development for us.
Operator: And now we'll move to a question from Scott Schneeberger with Oppenheimer.
Scott Schneeberger - Oppenheimer & Co. Inc.: I guess starting out, could we speak a little bit on tech consulting. It sounds like you're bullish for the remainder of the year and clearly going well. Could you guys speak to -- in the past, there's been consideration of spending that off. Where do you stand on that front given it looks like it has a nice runway here?
Dennis Shaughnessy: It's Dennis, Scott. I think we're not considering anything like that right now. I think, again, what we're looking for is support the group especially with all these new product leases that we think you're going to see in the next 16 to 18 months. I think there's consolidation going on in the industry. There are people exiting the industry that were referenced before. They are the smaller companies that Jack referenced that are going to either fall by the wayside or get gobbled up. So it's hard to ignore the dynamic in the industry that, clearly, the players are going to change or the players will get larger. But I think we feel very comfortable where we are right now. We think this is obviously one of the most valuable parts of the company. And again, I think that capital markets dictate strategy oftentimes, and I don't think necessarily there's a capital market need to do anything for us right now with this. And we feel very comfortable having this in the portfolio. And as I've said, it's hard to ignore what's going on in the macro sense, but we feel in a very good position.
Jack Dunn: Yes, I think we're -- I'm as excited about the business. I don't want to sell it. I mean, Capital Markets will not dictate something on this in my opinion. We have the best leadership team we've ever had there with Seth Ryerson and Eddie O'Brien on the R&D side and Adam Bendell. And I think we just -- we have a great prospects for that business. It's the kind of thing where they have an opportunity because of their stature in the field to do collaborative projects with people that may have a different type of expertise than we do. But I think it's definitely is part of the family and part of the reason why we have fared better than some of the people that are is some of the business we're in is because we are able to offer that as part of our offering. So I think let's put that to bed and just continue its growth spurt and its profitability.
Scott Schneeberger - Oppenheimer & Co. Inc.: And consistent mid-30s EBITDA margins is a reasonable expectation for that business considering it's been performing that and you guys are managing it as such?
Jack Dunn: Yes, we try to say when it's a little bit below that, please come back to the mid to low 30s; when it's a little bit above that, please come back. So yes, that's what we're looking for.
Scott Schneeberger - Oppenheimer & Co. Inc.: Okay. Fair enough. And then just switching up a little bit. SMG, no longer called SMG, but could you give us an update on how that's performing?
Dennis Shaughnessy: Yes, the senior budget for the first quarter, I think the utilization is going up. They've been active in several projects in the small investment bank that we have. The projects have not closed yet. That could have a positive influence on us going forward. Clearly, the commercial real estate market where they really play is starting to heat up even more. So we're looking for SMG to have a good year.
Operator: Now moving to a question from Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG: Thanks for taking my question. Just want to make sure I was clear on something. I think you raised your EPS guidance 10% -- $0.10 at the low end, $0.05 at the high end. But it sounded like you said that LECG added $0.10 to $0.15 for the year. Is that correct? And if it is, where is the underlying downgrade? And I have a follow-up.
Dennis Shaughnessy: There's no underlying downgrade. I think what we're trying to -- we try to give you a range. We weren't trying to be exactly precise that it was just going to be additive. We're trying to give you a range of what we thought LECG could do. And rather than get too far ahead of ourselves, we -- look, I think we have a reputation of trying to be relatively conservative on these things, and I think that's the way we did it.
Paul Ginocchio - Deutsche Bank AG: Okay. And then I calculated about $6 million of FX on the revenue in the quarter. Does that sound right to you?
David Bannister: Let me check, Paul.
Dennis Shaughnessy: Yes, we'll check and give the answer back on the call.
Paul Ginocchio - Deutsche Bank AG: It's okay. Then just while you're checking, the healthcare practice, can you tell us how big that is within restructuring? Is that just hospital restructuring, or is it also performance improvement? And if it is, what are you doing? Is it revenue cycle throughput?
Dennis Shaughnessy: Yes, it's about [ph] $60 million. It is all of the above. It's revenue cycle, it's operational improvement and it is -- it would be core restructuring. And the bulk of the business now is in the more consultative areas, as you can imagine, operational improvement and op restructure.
David Bannister: More importantly, we have healthcare expertise in many of our segments that also have substantial size, so we think of it as the totality of our domain expertise. It's not a $60 million business. It's probably $150 million to $200 million business.
Operator: Next question will come from Bill Sutherland with Boenning and Scattergood.
William Sutherland - Boenning and Scattergood, Inc.: So the expenses that you all called out last call on the operating -- the network operating centers and CRM, are they tracking along as far as the ranges you put up there?
Jack Dunn: Yes.
William Sutherland - Boenning and Scattergood, Inc.: Okay. And Jack, on the last call, you referenced activity really starting to heat up in the private equities. Is that sustaining?
Jack Dunn: Well, I think the private equities are very active when you look at the case openings we have on the transaction support side. I think that's indicative [ph] of 50, 60 new cases a quarter. That's indicative of that. It's an area of concentration for us because there's so many different things between our process improvement people and merger, post-merger integration activities. It's very much a focus for us.
William Sutherland - Boenning and Scattergood, Inc.: So that is contributing a lot to those new matters that you're getting? Okay, and...
Jack Dunn: I think some -- I wouldn't say that it's contributing a lot to the new matters. When you think about M&A as a major factor across all of our businesses and the single, as I say, the single biggest driver that could move us up to and beyond the high end of the range, I think, still is the strategic M&A is the major focus because it affects the technology in the second request and it affects Econ. So it's more in our transaction support that the private equity firms in terms of M&A activity would affect us.
William Sutherland - Boenning and Scattergood, Inc.: Right, right. The other thing you called out was the credit crisis. Is that flowing through like you expected?
Jack Dunn: Well, the litigation from the credit crisis is absolutely. I mean, we're -- I think one of the reasons the -- when we talk about financial economics, a lot of that business, where it's been very strong, has been the result of the credit crisis.
William Sutherland - Boenning and Scattergood, Inc.: Okay. And then last question for me, on the Tech growth, would you think that first quarter is something that can be sustained in terms of growth rate for the year?
Dennis Shaughnessy: Yes, Tech is -- they are involved in some great projects. They're going to be releasing new products. But I think with the caveat that, no, if the core projects that they're working on right now continue, they will clearly add new business. And if the new products that we plan on releasing get traction, we think they can have excellent growth through the rest of the year.
Operator: The next question will come from Arnold Ursaner with CJS Securities.
Arnold Ursaner - CJS Securities, Inc.: On the LECG acquisition of professionals, will many or most of them have to take garden leaves?
Dennis Shaughnessy: No, none. That's why we did it -- it was much cleaner to do an acquisition than to try to do group hires even though LECG has their own plan of sort of winding down. They had contractual control over a lot of the individuals that if we were just to hire them, Arnie, you're right on required, especially in Europe, garden leaves or just some states refrain from competition. All of that was waived by LECG as part of the consideration of the purchase. So all the people came over clean, and we're able to sign new contracts with FTI as a condition precedent for the deal and executed contemporaneously with purchasing the company. So there are no garden leave issues there.
Arnold Ursaner - CJS Securities, Inc.: Okay. So with the annualized type revenue number should be a pretty good starting point, can you speak to the margins on their business versus your corporate average? And what sort of goal you have for that over the next 12 to 18 months when they integrate in?
Dennis Shaughnessy: I think, first of all, it's impossible to speak to their margins on a trailing basis simply given the issues that we're going on in LECG and I'll leave that as that. I think that the people that we have, I would turn around and say we're the stars of the show there, and have tremendous demand power behind them individually as well as the groups that came over. There is no reason that after sort of a transitory period -- they went through a lot in the last six months there. And so you're always a little nervous simply extrapolating out where you think it ought to go without some degree of hiccup and that you're hoarding people from one office into other office, new support, new systems, the normal run-of-the-mill integration issues that you have. It's going along very smoothly so far. It's not perfect, but we would anticipate that we should exceed their run rate towards the second half of the year in revenues based on some of the bookings we're seeing and some of the business we've been able to already generate. For example, I know the competition practice in Europe was the best competition practice. Jorge Tadeo [ph] was the #1 guy there, and they're already cooperating extremely closely with our #1 practice over here in the U.S. They've been handing off assignments to each other. So I think you do have that working for us in the second half as well. I think that the earnings contribution is to be margin. Our expectations is they'll earn exactly what the rest of our groups earned and should be in the 20s. A good proxy would be to average Econ and to average FLC together because it's almost an approximate 50-50 split of the people. So our target would be to get them to that margin as soon as possible, hopefully, by the end of the year. We would anticipate a nice positive margin in this quarter, but nothing earth shattering and moving quickly towards our margin. And that's why we try to be conservative and use the range that we did given that you may have one quarter of integration. That's the one we're in right now.
Arnold Ursaner - CJS Securities, Inc.: Over the last six or nine months, your basic -- I wouldn't use the word guidance because that's a little too strong, but your overview of how we should think about your business is essentially keep the trends flat for what we're seeing over the last few quarters. Could you perhaps speak to that and talk about your trends in Q1 by month? Was there any noticeable change during the quarter?
Dennis Shaughnessy: No, it's just a very strong quarter. I mean, I think there's probably a lot of macro drivers, I think, as Jack said. Without a doubt, the litigation and regulatory business has really picked up. And to some very interesting global type of engagements that are new to the quarter. The M&A work, our Econ guys are going flat out practically, and so the addition of all these new power from LECG especially in Europe is very welcome. And so those trends are robust, and I think do probably indicate, as Jack said, sort of a loosening of the purse strings at some of the corporate budgets and maybe just sort of a finality and people waiting to resolve disputes. They've been pushing them off and now they're trying to get them over. So I think the demand drivers, which are really the new bookings, were extremely strong in the quarter.
Arnold Ursaner - CJS Securities, Inc.: [indiscernible] so should we be thinking more about an acceleration in trends starting in this quarter continuing through the balance of the year in your pro-cyclical pieces?
Jack Dunn: I think if you look at the businesses, as I said, they're kind of doing what we would have thought. Technology is probably the most sensitive to pick up in the economy, so it's kind of the canary in the mine shaft. Econ gets, especially in an M&A market like we're experiencing now, gets a lot of the business before. Forensic/Litigation is, again, is a steady, solid performer that tends over year in and year out to grow with the economy. So I think if you look at these specific sets of results with Technology at 17%, FLC at roughly the growth rate that people were anticipating for the economy, Econ a little bit above, I think this quarter is probably a pretty good template that, that would be a good result if we get back. And then if we get the businesses in Corporate Finance that are pro-cyclical and domain straightened out and we get the -- we reach the bottom on the restructuring, I think that's kind of the template for the year that we're looking at.
Operator: And now we'll move to a question from Joseph Foresi with Janney Montgomery Scott.
Joseph Foresi - Janney Montgomery Scott LLC: I think -- my first question is just on the litigation environment. What has caused the pickup this year in your estimation? And is there any pent-up demand in that recovery?
Jack Dunn: Joseph, I wouldn't refer to it as pent-up demand although I like the concept. But I would prefer to it more as -- following every financial crisis, if you look at 2001, 2002, the big litigation years were '05, '06, '07. They weren't right following that because you have the investigation phase. You have the phase where when you're coming out of the event itself, typically people are, especially insurance companies, are shy about funding a lot of stuff. So we're seeing a natural cycle where I think there's a human cry to quote "go find the bad guys." You see editorials and all the newspapers about nobody seems to have paid the price for the financial upheaval. Well, now people are exploring that when you look at the list of defendants, you look at the sizable litigation that's being filed, you look at even in the cases we have. We just really came up against the statute of limitation in the filing of all the cases. So I just think you'll see a relatively extended. And for good or ill, litigation begets litigation, so it's a part of what's driving it.
Dennis Shaughnessy: I agree with Jack. I think a lot of it is, is sort of a final reckoning of what happens in the financial meltdown. Everybody is now -- the protagonists are alive. They have money. Their balance sheets are secure. The people that feel they were injured, mostly institutional investors or other counter-parties, have something to go after and sue. So a lot of the pent-up demand on the litigation is now maturing, as Jack said, the statute of limitation has driven or it's just driven by the reality that I have real defendants to go after that aren't necessarily protected by the government's investment and things like that. So I think we're certainly seeing a lot of that. I think we'd be naive not to think that there isn't a benefit to us, and I'm not trying to say we're the only one. I think you've taken -- a major competitor going has gone out to the market over the last two years and on LECG. And they had excellent people. They did excellent work. We're the beneficiaries of some of that. I'm sure other companies are as well over the last two years. And I think as far as the larger cases, there are fewer people to go to who can work on these big, complex, international cases. And so I think part of the demand driver is they don't have as many people to turn to as maybe they did in the past.
Joseph Foresi - Janney Montgomery Scott LLC: You talked about earlier the restructuring practice. I wonder if we can revisit that. I mean, do we feel like we've bottomed here in the first quarter in the restructuring practice? Or do you think we faced a couple more tough comps either in that practice or FLC from some large engagements?
David Bannister: The comps certainly get easier after this quarter. If you recall, last year's first quarter was still a pretty strong Corporate Finance/Restructuring quarter. And then it fell out of bed in the -- restarting about late April of last year. You may remember that we even came out with a pre-earnings release commenting on that. So the comps certainly get easier. As to whether we're at an absolute bottom, we currently see default rates of around 1.5% to 1.4%, which is way below the historical average of the 20-year average of around 4%, 4.5%. But if those continue at those levels, we probably still have a little bit of room left under our heel. But the world tends to regress to me, so we don't think we're going to have 1.5% default rates in perpetuity.
Joseph Foresi - Janney Montgomery Scott LLC: Okay. And then my last question, I was wondering, could you just comment maybe on what organic growth expectations are in guidance and whether that includes any kind of acquisition activity going forward?
Dennis Shaughnessy: Well, I think it's directly related to your last question. I think we recorded about a 9% round numbers organic growth for the company x restructuring. And restructuring itself was cushioned by an acquisition and that's Ferrier Hodgson. So it overcame an awful lot of correction in the restructuring run rate. I think you should see us continue at that level, if not even better, in the more pro-cyclical businesses. The net number will be a function of your question, how quickly do we find a floor for the classic restructuring. As David said, we'll start lapping easier numbers. Most of the big cases have already ended, so you're not lapping those billings. And we're starting to see a pickup inside of Corporate Finance, of their non-restructuring business in certain areas. And we need that to pick up more. But I think that the net number is going to be really derivative of where that bottoms up.
David Bannister: The revenue last year was $1.4 billion. Our original guidance of where our corporate expenses was around $1.46 billion. Substantially, all of that was organic. There's a little bit of a effect from the Asian acquisition of maybe $15 million or so. But the challenge and we had to determine how this is going to show up in our filings is how do we characterize the LECG transactions. Some of those historically would have been referred to, in our vernacular, as organic because they were hiring people. And a little bit of it was -- took this legal form of acquisitions. These will be so quickly integrated that we really are not going to be able to track them effectively as stand-alone acquisitions. So people are going right into our offices, sitting in the same seat next to people. So my guess is we're going to end up having to talk about that as organic growth, recognizing we just put out a little bit capital, put out [indiscernible] capital to make that happen.
Jack Dunn: There are no future acquisitions in the guidance.
Dennis Shaughnessy: Yes, and there's no earn outs or anything associated with LECG obviously. So as David said, it will pretty much morph into organic. Now on the other hand, we are in conversation with people constantly. We are, as you guys know, acquisitive. We will generate a lot of cash that we'll be putting to use. And so we are not against doing more acquisitions this year, and in fact, we'd probably plan that we would it's just difficult to forecast. But it is not in the guidance.
Operator: And now we'll move to a question from Kevin McVeigh with Macquarie.
Kevin McVeigh - Macquarie Research: Great. I just wanted to follow up on the accelerated buyback. And it sounds like -- at what point is that completed? It sounds like there's another 600,000 shares or so. Or just at what point does it essentially end in terms of acquiring shares in the public market?
David Bannister: Contractually, the understanding with the agreement goes through, basically, through the end of the year. We will be -- we are substantially complete with the main phases of it by sort of mid-May, which is what, 600,000 that we referred to. So the balance of the year, the counter-party, which is Goldman Sachs, in effect has the ability to cover their short -- or purchase the shares they delivered to us. And depending on how they do that and how the price of the stock reacts, we could get more shares. We will not get any fewer than we talked about. That's the top side of the more shares might be as much as 10% more it just depends with the stock price. There's really no way for us to predict what that number is now.
Kevin McVeigh - Macquarie Research: Got it. But it could be upward to a 10% more than...
David Bannister: [indiscernible] 10% more. We hope not. We hope that [indiscernible] operate it down.
Kevin McVeigh - Macquarie Research: Right. And it's 10% obviously of what's already been purchased, right?
David Bannister: Correct. [indiscernible] It could be as much as another 500,000 shares. It could be as steep as zero.
Kevin McVeigh - Macquarie Research: On top of the 600,000 shares already that are earmarked for May?
David Bannister: Correct.
Operator: And the next question will come from Chitra Sundaram with Cardinal Capital.
Chitra Sundaram - Cardinal Capital: Very useful conference call. But the one piece, I guess, I'm a little puzzled still by is, what was the -- something must have changed between the time when you all gave the guidance for Q4 and now the guidance -- sorry, the guidance at the time of the Q4 call and the revised guidance now for 2011. Obviously, the acquisition is one piece and you've broken that out. But there's another $0.15 to $0.20 kind of, if I'm not wrong, that appears to be based on an improved view of the organic environment, organic growth environment. You've given a lot of color around it, but I'm just wondering what changed for you between the two calls...
Jack Dunn: Our modus operandi is that we only look at those kind of softer issues twice a year, once when we originally give guidance and second at the middle of the year. We only really revise our guidance when there's been a definitive transaction. This year that would be the share repurchase, the accelerated stock buyback, which is what caused us to raise our guidance earlier in the year. And then this time, it was the acquisition of the people and practices from LECG. So we started the year with $2 to $2.20. When we announced the accelerated share buyback, we went from $2.20 to $2.40. And now with the advent of the LECG transaction, we've gone from $2.30 to $2.45.
Operator: And we'll have a follow-up question from Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG: Thanks for taking my follow-up. Because of LECG, is it possible to give us revenue-generating headcount by division where it is currently just to help with the modeling? And second, maybe just current shares outstanding?
Jack Dunn: You mean the additions from LECG, each one or -- because the tables in the back do reflect the addition of those folks.
Paul Ginocchio - Deutsche Bank AG: Oh, they do. Okay.
Jack Dunn: Yes. That they would include the LECG folks.
Dennis Shaughnessy: Yes. Well, they came in literally right at the end of the quarter.
Paul Ginocchio - Deutsche Bank AG: Right. But that -- are those average numbers? Or those...
Jack Dunn: For the period.
Dennis Shaughnessy: Quarter end.
Paul Ginocchio - Deutsche Bank AG: Great, great. And the current share count?
Jack Dunn: $42 million?
David Bannister: Yes.
Dennis Shaughnessy: Yes. That again I think is...
David Bannister: It's in the tables.
Dennis Shaughnessy: In the tables, but that $42 million.
Paul Ginocchio - Deutsche Bank AG: Great. And then finally, I calculate your international exposure in about 24% of revenue with LECG. Does that sound right?
Jack Dunn: It was 21% or so in the quarter. So obviously...
Dennis Shaughnessy: Yes, that's about right.
Jack Dunn: That's a pretty good guess.
Dennis Shaughnessy: But it should ramp because we have a lot of LECG in there. [indiscernible] And Paul, I think that you were asking about the currency FX?
Paul Ginocchio - Deutsche Bank AG: Correct.
Dennis Shaughnessy: Yes, our revenue in the first quarter had about $1.9 million of currency FX in the revenue. And that had a negligible impact on earnings.
Operator: And we'll take our final question today from Tim McHugh with William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C.: Just wanted to sneak one or two more numbers questions in here. The depreciation and amortization was a fair amount lower than I thought. So just wanted to know if you could give us an updated view and then I guess including the LECG transaction in there. And then also on the interest expense or more specifically the other income line, and that's been somewhat volatile from quarter-to-quarter. Is there any visibility you can give us on what to expect from that going forward?
Dennis Shaughnessy: Well, I think the amortization would've been impacted by the fact we have a large brand write-off back in the fourth quarter. So where we were to amortizing, say, acquisition-related expense that had to be attributed to the brands that we bought. We chose to write those off and took that in one fell swoop in the fourth quarter. So that would have had one impact that would have dropped. There's no significant -- there are no brand transfers from over with LECG. Any of the amortizations related to peoples' contracts goes directly into comp, so it wouldn't effect that line, really not much in the form of assets, maybe some leasehold amortization, which show up. But again, that will be up in the operating line possibly. I don't see a lot of impact to that depreciation. I mean, there clearly will be some. I just don't see much.
David Bannister: What I would say, Tim, is that if you think of it, we added roughly 5%, 6% more people. Our depreciation across the company tends to be somewhat headcount driven because its [indiscernible] and so forth and so on. But you'd be a little more concern to that because a fair amount of depreciation also runs in the Tech segment. So I would say it's not going to be much of a change in depreciation as we fully deploy these people. Plus, many of them are moving into existing office spaces where we already have depreciation. So I think it's a negligible effect from LECG. And in terms of the balance for the year modeling, the depreciation could go up a little bit as we do a little bit more work at these service centers and they get put in places. But again, I don't think it's a big effect.
Jack Dunn: Yes, there's a little bit of uptick. We bought our Asia Pacific service center on for technology services, reconstruction technology. But as David said, that's not going to have a dramatic impact.
Timothy McHugh - William Blair & Company L.L.C.: Okay. And then the other income line, it was like $2 million this quarter. You had some periods worse than that, but it's been bouncing up and down. So I'm not sure what to expect for that.
David Bannister: [indiscernible] FX would be reported.
Operator: And that will conclude our question-and-answer session. I'll turn the call back over to management for any additional or closing remarks.
Jack Dunn: Okay. Great. That concludes our session today. Thank you for joining us, and we look forward to talking to you at the end of the next quarter. Thank you.
Operator: And once again, ladies and gentlemen, that does conclude today's call. We do thank you for your participation.